Operator: Good morning, and welcome to TripAdvisor's Second Quarter 2016 Earnings Conference Call. As a reminder, today's conference call is being recorded. At this time, I would like to turn the conference call over to TripAdvisor's Vice President of Investor Relations, Mr. Will Lyons. Please go ahead.
Will Lyons - Vice President of Investor Relations & Revenue Analytics: Thanks, Esther. Good morning, everyone, and welcome to our second quarter earnings conference call. Joining me today are Steve Kaufer, our CEO; and Ernst Teunissen, our CFO. Last night after market close, we distributed and filed our Q2 earnings release as well as made available our prepared remarks on our Investor Relations website located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Also, our IR website contains a supplemental financial information document which includes certain non-GAAP financial measures discussed on this call as well as other performance metrics. Instead of reading our prepared remarks on this call, Steve will provide a couple of thoughts and Ernst will follow-up as well, and we'll talk about our recent progress and then we'll jump right into Q&A. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent the company's view as of today, August 4, 2016. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release and our filings with the SEC for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. And with that, I'll pass the call over to Steve.
Stephen Kaufer - President, Chief Executive Officer & Director: Thank you, Will, and good morning, everyone. Thank you for joining the call. Hopefully you've had a chance to read our prepared remarks that we published last night after market close. I'll summarize by saying that we continue to grow content and community, especially on mobile devices. We are operating the business with a long-term forward-looking view, and we continue to leverage these competitive strengths as we create a stickier end-to-end user experience throughout all phases of travel planning, booking and trip taking. We're pleased with the progress that we made in the second quarter along our key initiatives. Instant booking is now live across the globe, and we continue to improve our booking capabilities not only in hotels, but in attractions, restaurants and vacation rentals. Ernst?
Ernst J. Teunissen - Chief Financial Officer: Thanks, Steve, and hello, everyone. I'll just add that these initiatives come with visible near-term revenue and profit headwinds as anticipated and also as communicated at the outset of the year. We continue to navigate a dynamic travel landscape and we believe we're on the best path to drive long-term shareholder value. With that, we'll open it up for our questions.
Operator: Thank you. Our first question comes from the line of Brian Fitzgerald with Jefferies. Your line is now open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. I had a couple of questions. First one is around mobile. You talk about better book rates coming out of mobile and you highlight versus other devices. When you say other devices, is that both desktop and tablets? So, just a little clarification there. And then wondering if there's any dynamics to call out with the Samsung relationship and how that's progressing?
Ernst J. Teunissen - Chief Financial Officer: I'll take the first question. Yes, against other devices, that includes the desktop and tablet. Mobile is really our best performer in that case.
Stephen Kaufer - President, Chief Executive Officer & Director: And thanks, Brian, for the question. The Samsung relationship generated a number of pre-installs many years ago, but I wouldn't characterize that as a critical partnership even back then, and certainly not going forward. We appreciate all the installs. We have hundreds of millions of them, but that's a small piece of our mobile puzzle.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys.
Operator: And our next question comes from the line of Lloyd Walmsley with Deutsche Bank. Your line is now open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. Two, if I can: one on desktop shoppers and one on mobile. First, it looks like desktop hotel shopper growth was negative, so wondering if you saw that across markets or maybe if certain markets like North America where revenue accelerated, was desktop shopper growth holding up okay? Any color you can provide on that or whether this is kind of structural or temporary would be helpful. And then secondly on mobile, you guys called out app hotel shoppers and revenue both growing at a strong 50%, but it seems like that would imply mobile monetization, which has been improving a lot that didn't grow much this quarter in terms of revenue per shopper in app. So wondering if we're interpreting that correctly, and can you kind of walk us through what may have slowed the progress there; how do you think it can reverse out? Thanks.
Ernst J. Teunissen - Chief Financial Officer: Yes, thank you, Lloyd. In terms of number of shoppers and the geo split in that, we've seen weakness across the world in all markets, and especially we called out into the back half of the quarter, we've not seen the usual holiday spike or summer spike that we would have seen and that was across geographies. Having said that, especially earlier on the quarter, outside of the United States, in all of those markets where we rolled out instant booking, we perhaps saw a larger impact that is in part driven by the fact that we can spend less as we saw the impact of instant booking. But hotel shopping is not completely isolated to outside the U.S. Your second question on mobile monetization, we did see year-on-year improvement of revenue per shopper in mobile. Mobile revenue grew at about 30%. Our shopper count was up a little over 23% in mobile, so that implies an improved monetization for the mobile.
Operator: And our next question comes from the line of Eric Sheridan with UBS. Your line is now open.
Eric J. Sheridan - UBS Securities LLC: Thank you so much. Maybe two questions around the sales and marketing efforts of the company. Just wanted to understand a little bit better on ROI and what you might be seeing or how you can help us understand some of the discounting or incentives you put in place in the letter commentary you sort of laid out that the shift away from TV advertising that's sort of moved into those incentives on property to get people to book the first time. Maybe we can understand a little bit how that's progressing, what kind of returns you're getting and what it might mean for how you spend on the sales and market line in the back part of the year. Thanks so much.
Stephen Kaufer - President, Chief Executive Officer & Director: Sure. Thanks for the question. This is Steve. We certainly have been trying a number of different promotions; anything from sweepstakes to an Amazon Gift Card to discount on an attraction once you booked a hotel. They're all just different ways that we're both driving home, TripAdvisor is a place that you can now book the hotel, not just read the reviews. So to be clear, part of that kind of promotional goal is really building the brand around, this is a place you can book. And part of it certainly serves to drive that first time booker or second time booker into the flow because we have our evidence that says once we get someone to book once, they're more likely to come back and book again. And if we can get them to book once or book twice on the app, for instance, it becomes an even stronger habit. And that's what we're looking to build over time, figure out the set of users, a large set of users that already trust us for our reviews and push them into trusting us for that booking experience. And we have great scores of when we measure how people feel about the booking experience once they've gone through it. So, the promotions are taking some of the dollars that we had spent in TV. We feel, as I've said before, that leveraging the vast amount of traffic we have globally that's already on our site is simply a more efficient way for us to get our message out there than some of the other off-line activities. It doesn't really tell you much on – I'm not really able to tell you much on the relative spend for those type of programs in the back half of the year, other than to point out what I think is fairly straightforward. Those aren't anywhere near the materiality of the TV spend even in the lightweight ways we were doing it last year.
Eric J. Sheridan - UBS Securities LLC: Thank you.
Operator: And our next question comes from the line of Perry Gold with MoffettNathanson. Your line is now open.
Perry Gold - MoffettNathanson LLC: Thanks for taking the question. Can you provide an update on where we are in terms of conversion rates for instant booking versus metasearch, maybe by either geography or device and how we should be thinking about that pace of improvement? Is that 20% uplift on desktop in the U.S. for IB likely to be representative in terms of the pace of growth for IB conversion on mobile or maybe in other regions? Thanks so much.
Ernst J. Teunissen - Chief Financial Officer: Yes. We've said before and this is still the case that conversion rates in the U.S. have been converging and are similar to the conversion rates in meta. We've seen very good results there. We see continued evidence of the monetization gap narrowing. Outside of the U.S. in all those markets that we launched in the second quarter, we've seen, as expected, what we saw early on in the United States as well, that the conversion rates are lower as there is much larger gap compared to the U.S. And we believe there's a lot of low-hanging fruit that we have to improve those conversion rates over time and like in the U.S., hopefully, ultimately see conversion rates that are more similar.
Perry Gold - MoffettNathanson LLC: Thank you.
Stephen Kaufer - President, Chief Executive Officer & Director: The standard sort of test and learn that we're doing, we know will drive improved conversion rates over time in each of our markets. We also get the benefit of the repeat bookers coming back. And those folks obviously have been around the longest in the U.S., so they have a higher conversion rate and haven't been around as much in some of our newer markets. So, we'll see the overall conversion rate for IB climb in our newer markets over time anyways because we're simply pulling back people that have already tried it, already liked it. On the app is where we continue to be most excited because that's the best spot to build a habit. And when we look at building a habit for someone that travels once, maybe twice a year, it's just less interesting to us than the more frequent traveler who can now, with the stored credit card on the app, open up the app and make a booking, go and it's really simple. It's really easy. We have tremendous coverage in most markets, and that kind of habit enables that device and enables that value proposition to continue to grow for us. And so we'd expect to see continued, on average, conversion improvements because frankly, we're attracting our repeat visitors more and more often. But that does take quarters and years to build.
Perry Gold - MoffettNathanson LLC: Great. Thanks, Steve.
Stephen Kaufer - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Mike Olson with Piper Jaffray. Your line is now open.
Mike J. Olson - Piper Jaffray & Co. (Broker): Hey. Good morning. You had a significant uptick in number of bookable products on Viator. And at this point, how would you describe the impact on monetization from that uptick in bookability versus just being a resource for information on tours and attractions with limited ability to monetize? And then I guess what's the reaction from tour and attraction partners to instant book? I'd think it would be positive, given they may be less concerned than hotels about retaining brand awareness, et cetera. Thanks.
Stephen Kaufer - President, Chief Executive Officer & Director: Sure. That's a great question. Mike, thank you very much. The Viator's been doing this for quite a while, so we've picked up a lot of the popular tours and activities over the years, but there's hundreds of thousands more that want to be online, may have their own website but haven't yet connected to any platform like ours. And TripAdvisor has over 600,000 things to do and locations. Many of those places sell tickets and would love the ability to have the booking from our end. So that's the whole story around the attractions. To the second part of your question, I've just haven't ever heard of an attraction owner saying, no, I don't like the notion of instant booking because it takes away from that branded experience. Because as you point out, the attraction is much less likely to be a repeat visit than the hotel, so the attraction is much less interested in building that direct loyalty. They want to make sure their attraction is highly rated, highly visible on Trip, easily bookable, best inventory, most available inventory. And our biggest challenge, frankly, is just getting the pipes, all that connectivity working for as many attractions as we can and then back to the consumer side on TripAdvisor, teaching folks that not only can they figure out the things that they want to do; they can book it. They can book it on desktop. And more importantly, in our long-term view, they can book it on their phone when they are in market. And that's that whole instant booking attraction picture.
Mike J. Olson - Piper Jaffray & Co. (Broker): Thank you.
Operator: Our next question comes from the line of Robert Peck with SunTrust. Your line is now open.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Yes. Thank you so much. Two quick questions, please. One, when we look at the click-based revenue, it decelerated slightly to I think down about 15%. In the last quarter, you were helpful breaking out some of the headwinds that you saw, whether it be seasonality, macro or the insta-book transition. I was wondering if you could maybe go through that and help break out what you saw there in those various components. And then, Ernst, as we think about 2017 and what could be more of a normalized growth rate on the top line or stabilized margins, that would be helpful as well. Thanks so much.
Ernst J. Teunissen - Chief Financial Officer: So if you look at revenue per shopper, the story is somewhat similar as in the previous quarters. So the largest impact on the year-on-year decrease of revenue per shopper is the instant booking dilution. We have obviously now been in market outside of the U.S., U.K., where we were before in for a complete three months in the second quarter, and that has made a significant impact. That's both, as a reminder, a booked revenue issue as well as a rev rec issue in instant booking. So that's a large one. The second in revenue per shopper is the shift to mobile. We've seen a faster shift in mobile than we anticipated in the second quarter. And this continues to be a drag on the aggregated revenue per shopper number. As we said before, revenue per shopper of mobile is increasing, but is substantially lower than on desktop, and therefore with the mix shift, a reduction of the overall. We have also in the second quarter had tougher meta comps compared to a year ago. We called that out earlier. That's a front half issue. That will abate, that will ease in the second part of the quarter. We've also called out that we did see some softness particularly in June and into July, which we think might be impacted by the macro environment, by the various events that we've seen around the world, be it terror-related or economic events like Brexit, and we believe that has made an impact on us as well, on the volume side, on the number of shoppers side, and perhaps also on the revenue per shopper side. Your second part of the question about 2017, in February we made some statements painting a picture for the shape of 2016, but also into 2017. We have no reason to update that today, but I also don't want to put a finer point to that. The teams here internally will start to shift over the next month, a more detailed planning for 2017, and when the time is right, we'll provide you some appropriate comments about 2017.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Thank you so much.
Operator: Our next question comes from the line of Naved Khan with Cantor Fitzgerald. Your line is now open.
Naved Khan - Cantor Fitzgerald Securities: Yeah, hi. Thank you. Just a couple of questions. Steve, maybe you can give us some more color on the shopper growth and how it might be affected by the spend on the variable advertising channels. It looks like you're spending more on promotions related to instant book. Is that taking away from the spending on traffic acquisition and maybe even hurting the metasearch?
Stephen Kaufer - President, Chief Executive Officer & Director: Sure, Naved. I'll try and answer. So, the basic variable marketing channels that we've traditionally used, the standard ones, continue apace, no fundamental change in how we approach them. With the rev per shopper decline that impacts based upon our ROI neutral approach to those channels, it impacts how much we're able to bid in those channels. So you've seen we believe a partial decline in the hotel shopper growth because of a lower ability to spend in those channels. I wouldn't call out the promotions as – well, I'm telling you the promotions are not coming at the expense of the variable marketing channels. They are marketing dollars that we are choosing to spend to build up the brand of TripAdvisor as a trusted place to book, but I would caution against thinking of it, as I mentioned before, in the same magnitude as TV, because it's not.
Naved Khan - Cantor Fitzgerald Securities: Understood. And then just to follow up, can you just talk about the dynamic for the meta-auction in the second quarter? Was there any impact from Expedia under-indexing in the channel? They talked about that on their earnings call.
Stephen Kaufer - President, Chief Executive Officer & Director: Yes. We had heard that, and from our seat, we're kind of used to various partners, big ones and small ones, having small to medium changes in how they act quarter on quarter on quarter. So Expedia may have been talking about a little bit different approach or different stuff this quarter. We see it but other partners also change their large bids from time to time. I wouldn't view it as the most relevant thing in our overall model. Pricing overall impacts our CPC auction. We continue to make revenue optimization headwinds. And we look at the macro issues impacting online travel as another aspect that can both affect revenue per shopper as well as total shoppers coming in the store.
Naved Khan - Cantor Fitzgerald Securities: Thank you.
Operator: Our next question comes from the line of Peter Stabler with Wells Fargo. Your line is now open.
Peter C. Stabler - Wells Fargo Securities LLC: Good morning. Thanks for taking the question. In your prepared remarks, you, I think, Ernst, you said that you're now live in "substantively all your major markets." Wondering if you could help us understand when from a timing perspective you might be experiencing maximum IB transition headwinds and when that curve might start improving. Thanks.
Ernst J. Teunissen - Chief Financial Officer: So in terms of rollout, as we said, this second quarter was really the quarter that we had the full three-month impact of the IB rollout globally. As we've said over time, we've made improvements in the United States, but this is really the initial rollout outside of the U.S. and the UK and the full impact of that. We believe that as we go forward, as we enter in this Phase three and Phase four that we were describing in our prepared remarks, we hopefully should be able to make improvements to our offering and improve our conversion rates over time.
Peter C. Stabler - Wells Fargo Securities LLC: Great. And if I could, one more, do you think IB conversion rates could ever exceed meta? Thanks.
Stephen Kaufer - President, Chief Executive Officer & Director: This is Steve. I certainly do believe that IB rates can and sometimes do exceed meta. It very much depends on the property, the type of traveler. I'll give you a very simple case in point. If a user is looking for a relatively straightforward stay, low research intent vacation, staying three nights in a Best Western, the conversion rates are really quite high and near as we can tell higher than the downstream meta. It kind of makes sense. It's a simple transaction. TripAdvisor is giving you plenty of information and there's not a big reason to shop around. But the week's stay in Cancun where you're looking for a lot more information and sometimes, information that frankly, TripAdvisor doesn't quite have in the form that you're looking for, then instant booking is not converting as well as meta. So, I certainly understand your question. And when we think over time, yes, we do believe instant booking can and should always be able to be better if our pricing is good than a meta click. And when we look on average, we see in the U.S. app, we're already there. But again, the on-average already better than meta is a great statement. I still drill it down to different segments of properties and different segments of trips because we want to make sure it's not on-average great; it's great in every different situation that we come across.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks, Steve.
Operator: And our next question comes from the line of Douglas Anmuth with JPMorgan. Your line is now open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the questions. First, I just wanted to go back to North America and the revenue growth there accelerated a little bit in 2Q. Just wanted to understand the acceleration better and I guess just in particular, how much is the lapping some of the instant book impact versus some of the conversion improvements in areas where you're doing better? And then secondly, could you just talk a little bit about your strategy for determining when you're showing instant book and kind of when you're moving it up and down the page kind of through the booking process? Thanks.
Ernst J. Teunissen - Chief Financial Officer: I'll take the first part of that question. So, the geo split that you see is the first thing to point out is a mix across our entire business. So, it includes TripAdvisor auction revenue, but it also includes, obviously, other hotel brands as well as attractions, vacation rentals, etc. But having said that, across the board, and also in our TripAdvisor core, our revenue performance in the U.S. has been better than outside of the U.S. for a number of reasons; most importantly, that we are frankly much further along in driving improvements in our instant booking offering. We've seen lapping of things that we did last year and we've seen significant improvements we've made in conversion in the United States. So we're very pleased with that, and we see very good performance there. If you compare that to EMEA in our breakout and APAC and LATAM, you can see that the trends are different there. That is a function of the rollout that we have just done. And you also see in addition that particularly in LATAM and APAC we've seen weakness. So if you were to ask us where in the portfolio have you seen strong performance and less strong performance in the second quarter on a year-on-year basis, clearly, U.S. stronger performer, mobile a strong performer, and outside the U.S., Europe weaker and especially outside of Europe, LATAM and APAC weaker.
Stephen Kaufer - President, Chief Executive Officer & Director: And this is Steve. You are wise to point out that change in the IB, instant book presentation on the website, as internally we call it flexing the user interface, to show instant book where we think it's truly the best offering for the consumer and not fully deprecating but lowering its visibility when we don't think that's going to make for a successful experience. We were perhaps a little too ambitious when we rolled it out originally, putting IB top, front and center no matter what the price was in IB and no matter how appropriate IB was for what the user was looking for, looking back to that example of a Best Western purchase versus a week in Cancun. Now when you look at our site, again, depending on the market, you'll see instant book positioned as a terrific option if it's the right property and the right price, and you'll actually see it float in a different spot depending possibly on whether you've booked on TripAdvisor before. So the team did a terrific job helping to figure out when instant book is likely to be successful and when meta is actually a better offering or a better choice for that traveler at that point in time. The traveler, as they go through their journey, in fact, sometimes is more interested in a meta click-off for looking at more information, sometimes more interested in just finishing the booking right there because the price is the same and the purchase path is simple. So, again, I would suggest if you care to continue to look at the site because we expect to continue to look and optimize where and when you see instant booking, again, per our mission, helping that traveler plan and book the perfect trip, what are the right times when we're going to see it. The really nice thing, and then I'll end my point, is that as we have flexed the user interface to show meta or IB at the right time, we've increased our revenue and we have not had a meaningful drop in our instant bookings, because fundamentally we're lowering its visibility in cases where we weren't converting anyone anyways. So in this case, the team, again, nice job because we're getting our revenue back, which helps our traffic acquisition and our overall top line, and we're not losing on the instant book trial piece, which furthers our building a habit using instant book strategy.
Douglas T. Anmuth - JPMorgan Securities LLC: Great. That's helpful color. Thank you.
Stephen Kaufer - President, Chief Executive Officer & Director: Thanks.
Operator: Our next question comes from the line of Chris Merwin with Barclays. Your line is now open.
Christopher David Merwin - Barclays Capital, Inc.: All right, great. Thanks. I just had a couple questions. So first, I think the commentary is still that we're working kind of an upward shape in the revenue curve for the back half of the year. Is that going to be mainly driven by revenue per hotel shopper or also a pickup in hotel shoppers as well? And then just a second question, I think, still we sometimes see a difference in price between instant book and meta, and if you wouldn't mind just reminding us I guess how that works and to what extent, like, a lower price on instant book is helping conversion? Thanks.
Ernst J. Teunissen - Chief Financial Officer: Yes, and as you all know, we don't provide a formal guidance, but we have made the comments that – a few comments. One is we see our comps easing in the second half. This is the comps from the IB rollout but also from the meta comps that we have highlighted before. We're also commenting though that there are recent softer trends that we have highlighted, and they make us more cautious as we look at the rest of the year.
Stephen Kaufer - President, Chief Executive Officer & Director: Hi. And then to answer the pricing question, the instant book price is, generally speaking, the best price that we get from all of our instant booking partners, which is frequently the hotel itself, chain or independent, and then likely one or more of the Priceline companies and then perhaps another or a different OTA. But many times, that instant book price is not actually the best price in our meta auction, and so since travelers the world over care most or care hugely about price, when our instant book price is not the best price, we're generally not featuring it at the top of the page, because we know it's not what users are going to want the most. Our goal is to continue to sign up independent hotels, chains, online travel agencies, resellers, every possible partner who is able to take the booking for a hotel, so that when you come to TripAdvisor and use the instant book product, you will see TripAdvisor having as good a price as any of our meta partners, and frankly, as anyone across the web has. And so we measure – getting technical here, we measure the meet, beat, lose ratio of how our instant book price compares to our own meta auction to know how many times a smart traveler should be picking the instant book option because it is equal to the best price in the meta auction.
Christopher David Merwin - Barclays Capital, Inc.: All right. Thank you.
Stephen Kaufer - President, Chief Executive Officer & Director: Thanks.
Operator: Our next question comes from the line of Tom White with Macquarie Capital. Your line is now open.
Tom White - Macquarie Capital (USA), Inc.: Great. Thanks for taking my questions. Steve, you just touched on ramping hotel supply, both via independents and chains as well as OTAs. Can you maybe give us a sense of how many direct hotel relationships or contracts you guys have and maybe how quickly that's growing? And then just secondly, on conversion rate, there's some discussion of conversion rates for IB versus meta. I'm curious to know whether there's a meaningful difference in conversion rate for IB when the connectivity or the booking is processed by an independent versus one of the large OTAs like met booking (33:28). Thanks.
Stephen Kaufer - President, Chief Executive Officer & Director: Thanks, Tom. Two good questions. We're not at the point to release total supply and direct supply numbers. I think we've talked about having the vast majority of the chains on board and we have quite a few independent properties. One of the nice points of that independent property piece is that so many of them are hearing about us through their channel partner or aware of us because they're responding to reviews, and so they're actually going through our self-service module to sign up. And if that independent hotel uses an Internet booking engine that we support, and we support well over a hundred now, it's pretty easy for that property to come on in, put in their credit card, hit a few buttons and away they go. And then they're able to take direct bookings via TripAdvisor. And, again, they like it, feedback is good. We've had the desire, the strongest desire, to be as broad as we can with instant booking, so our natural focus has been the big chains, because they can bring on thousands of properties at once, and of course the big OTAs. And, we're in super-partnership with the Priceline brands and so you've seen both not only Booking.com but also Priceline and Agoda appear in our auctions not only in the U.S. but in many more markets as well. And as we expand all of that inventory through that OTA relationship, we're delivering instant book to more customers in more languages. So the question of the instant book conversion via supplier direct versus an OTA, it's a little hard for us to measure simply because it's an apples to oranges. The big chain supply we have tends to be the big names, the high confidence and, in general, those tend to convert quite well, oftentimes better than a good OTA partner, because there is some, near as we can tell, some brand preference for the supplier direct. It's a little more nuanced when it comes to the individual properties signing up, whether the consumer preference is an OTA versus the independent. I'd leave you with the generalized statement that if the independent or the supplier direct has excellent content in our system, so good room descriptions, good photos and absolutely have equal pricing, then the supplier is likely to get a higher share of the bookings. When we ask ourselves what matters the most? I want to be very clear, it's price. And so hoteliers who are very good at making sure their own website has the best pricing and that's what's shown on our site, reap the benefits of that. Where pricing is variable across different partners, then the hotel itself will lose some of the bookings, because consumers prefer the cheapest price, simply put.
Tom White - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Our next question comes from the line of Mark Mahaney with RBC Capital. Your line is now open.
Mark Mahaney - RBC Capital Markets LLC: Great. You talked a couple of times about the mobile monetization gap and I just wanted to get back to it and ask a couple of basic questions. How big is the gap between mobile and desktop and tablet monetization? What's the trend like? What do you think are the basic factors causing that gap? And do you think that that's just inevitable that long-term that that closes or gets eliminated? Thanks.
Ernst J. Teunissen - Chief Financial Officer: Yes. The monetization gap that we currently have, so mobile monetizes roughly at about 30% of...
Stephen Kaufer - President, Chief Executive Officer & Director: Phone.
Ernst J. Teunissen - Chief Financial Officer: Sorry?
Stephen Kaufer - President, Chief Executive Officer & Director: Phone.
Ernst J. Teunissen - Chief Financial Officer: Yes, phone not mobile, not the tablets. The phone monetizes roughly at 30%, a third of desktop. And we've seen that improve over time. It's better today than it was a year ago. And we continue to believe that we're well positioned to continue to make improvements and really lead with our mobile product. So as we think into the future, we do anticipate that we see further conversions of the monetization of the phone and desktop. Where that will exactly land is a little difficult to predict at this point.
Stephen Kaufer - President, Chief Executive Officer & Director: And I'd caution folks that sometimes when you hear us and others talk about mobile, it includes tablet. We try to be clear when we talk about our phone monetization being a third because tablet for us looks pretty close to desktop.
Mark Mahaney - RBC Capital Markets LLC: But, qualitatively, could you talk to the factors that are going to cause that gap to narrow over time?
Stephen Kaufer - President, Chief Executive Officer & Director: Sure. I think – this is Steve – absolutely the biggest factor is the consumer building habit and the expectations of being able to book with us on the app. So there's the macro, and I think almost every travel company at least will talk about how the phone bookings monetize less per booking than desktop because the phone is still used, at least in my opinion, for the lower decision support purchases. It's the easier hotel. It's the one night. It's you know what you want. There's less research involved. And the heavier, more expensive purchases are happening; the less commoditized purchases still are happening more on the desktop. As users' comfort grow on the phone, as phone apps become even better, that will lessen and the average price of what is booked on the phone will come closer to desktop. Average price is a good proxy for average amount that any of us make on those bookings. For us, the habit of booking and rebooking and rebooking on the phone, on the app specifically is going to be what we believe drives our future monetization model. We are in – we kind of have the best of many worlds because we have this awesome meta price comparison engine on any device that allows the traveler to make sure they're getting the best deal. And we've moved into the transaction business so that they don't have to go anywhere else to get that best deal. They can book on TripAdvisor. If you believe, as we do that it's going to be an app world, to many it's already an app world. The Facebook it's already an app world, but in that sort of travel purchase, it's moving in that direction, our app being able to help people find what they're looking for, make sure they're getting the best price, click off in a meta model if they're not getting the best price. Use their store credit card to easily book when we do have the best price, so that they made the travel research, they made the travel purchase. Now they're taking TripAdvisor on the road with them in that single app to deliver that next experience of, what am I going to do when I'm going to get there? How am I going to – where am I going to eat? How can I make all those reservations? And that app world means my overall revenue per shopper, a) gets amortized over all the different stuff we sell, not just hotels; but b) building that habit because we've earned the spot on your phone, makes that monetization because of the repeat usage that much better over time. And it's true that on TripAdvisor desktop, we've been phenomenally blessed with so much traffic, so much trust, and so much awareness around the globe, but the desktop website isn't as sticky. It's been our challenge to get people who do the price comparison on Trip, who read the reviews on Trip to not immediately pop over and book somewhere else such that we've completely lost the credit. And that's not a complaint against any of our partners that we deserve all that credit. We're trying as hard as they are to correctly attribute the credit to us. On the app with instant booking, we don't have that challenge anymore because we've built the habit, people come back and finish their booking right on Trip.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Steve. Thank you, Ernst.
Stephen Kaufer - President, Chief Executive Officer & Director: Thanks.
Operator: Our next question comes from the line of Nat Schindler with Bank of America. Your line is now open.
Nat H. Schindler - Bank of America - Merrill Lynch: Yes. Hi. If you look at your, revenue per hotel shopper was down, seen mostly from instant book. But wouldn't it be down considerably just from mix shift as desktop shrank from mobile? And how much of that difference would there be?
Ernst J. Teunissen - Chief Financial Officer: Yes. You're correct. So if you look at the drivers in sort of order of importance, the number one driver was the instant booking impact in the second quarter, consisting both of the booked revenue impact from the lower monetization IB, as well as from the revenue recognition. The number two driver indeed was the shift from desktop to the phone. And we're not sizing the individual impacts of all those drivers, but it was a significant impact.
Nat H. Schindler - Bank of America - Merrill Lynch: And just a quick follow-up to that. How much is – just on IB, what is the difference in monetization between desktop and mobile?
Ernst J. Teunissen - Chief Financial Officer: We're not breaking out that in specifics. We've said overall the monetization on the phone is 30%, one-third of meta. We're not breaking that down between IB on the phone or IB on the desktop.
Nat H. Schindler - Bank of America - Merrill Lynch: Okay. Thank you.
Stephen Kaufer - President, Chief Executive Officer & Director: What we like about that phone aspect is we continue to see our best repeat rates on the app. We continue to see the strength of the habit; kind of more people booking four and five times on the phone than on mobile web or desktop. And if you look at the app experience versus mobile web or desktop, you see that we're pushing harder on instant book as the best and easiest option. When you look at the folks who are logged in, already members on the app, huge, huge percentage of people that are clearly identifying themselves as TripAdvisor members and happy to book. Combine that with the constant increase in credit card storage, the constant repeat bookings, and it takes time, but we're pretty happy with how that picture is shaping up on the app. We're going to face, to be clear, a continued headwind of the shift over to mobile because even though our mobile monetization rate is growing and the app usage is looking really strong, it's still coming from such a smaller rev per shopper base than desktop. But that's one of the reasons why we launched IB or the whole concept of instant book in the first place was to kind of solve this problem so that we'd be in a phenomenally strong position in the app world in a few years.
Operator: Our next question comes from the line of Kevin Kopelman with Cowen & Co. Your line is now open.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks. I wanted to ask about the softness in June and July. Can you give us any sense of the relative size of the softness this year when compared to the slowdown in meta auction pricing that you saw in June and July last year? Thanks.
Ernst J. Teunissen - Chief Financial Officer: Yes. I don't want to put a finer point on it than we've already done. We did see, as we called out, a softness really into June more than in April and May in the particular quarter, and we've seen that softness continue into July. And as I said before, usually we see a very significant spike in June and July that is seasonal. We've seen that much to a lesser extent this year. We've talked about what we believe are some of the headwinds that we're looking at. It's difficult to size the total impact of macro. We've seen obviously impacts, localized impacts in the particular markets that were impacted, and we can size those to some extent, but we believe there's something larger going on in the travel environment that is harder to quantify. So we've seen that in June and July. When we say when we look at the rest of the year that we're more cautious, it is really because it is difficult for us to forecast how much of that June, July weakness is going to persist throughout the end of the year, and that's the reason for our cautiousness.
Kevin Kopelman - Cowen & Co. LLC: Thanks, Ernst.
Operator: And our next question comes from the line of Stephen Ju with Credit Suisse. Your line is now open.
Stephen Ju - Credit Suisse: Okay. Thanks. So Steve, 0.5 million bookable hotel properties now. Any way to characterize the number of rooms? And when you are pretty much done getting full adoption of IB, what do you think the bookable property count and the room count will look like? Thanks.
Stephen Kaufer - President, Chief Executive Officer & Director: Thanks, Steve. So because of the Priceline Group relationship and the fact that we have all of their inventory, I'd say the bookable properties number is huge. It covers just about everything we want, because you think of how strong the Priceline Group companies are, covering basically most interesting bookable hotels. We've always looked at our meta auction by, hey, as a percentage of page views, how many of the properties that we have do we have a commerce link for? And that number has been quite steady for several years, and I think the number now that we have is 0.5 million bookable properties is going to be pretty steady. Priceline generally has most, if not all of the rooms at a property, so we don't generally go down to the kind of room level count. But if you think of our inventory as the super set of the Priceline brands plus the Expedia affiliate network brands via Tingo plus Getaroom plus the other suppliers that we've signed up, in total bookable properties, I can kind of say – at least in English, I can kind of say checkmark, got all that matter. I can't say checkmark yet on, do we have the best price on all those properties? Because Priceline is strong as they are on pricing, doesn't always have the best price, and that's why people generally shop around on the net. They're very, very good at it, but TripAdvisor has the opportunity to be even better because when Priceline has a great price for property, we can take from them. When the hotel itself has a better price, we can take the price from them and they can both be instant book partners. So I wouldn't look at or I don't care much about at this point the trajectory of bookable properties. I care more about how we're doing by way of content and pricing for those properties and then the expansion into as many languages as we can support.
Stephen Ju - Credit Suisse: Thank you.
Operator: At this time I'm showing no further questions, I would like to turn the call back over to Steve Kaufer for any closing remarks.
Stephen Kaufer - President, Chief Executive Officer & Director: Okay. Well, thanks, everyone, for joining the call. I want to thank all of our employees around the globe for their continued hard work. Everyone's doing a great job for us. We appreciate that. And we look forward to updating all of you on our progress next quarter. Thanks very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may all disconnect. Everyone, have a wonderful day.